Operator: Hello and welcome to BIC Third Quarter and Nine Months 2023 Results. My name is Natalie and I'll be your coordinator for today's event. Please note this call is being recorded. And for the duration of the call your lines will be on listen-only. However you will have the opportunity to ask questions at the end of the call. [Operator Instructions] I will now hand you over to your host Gonzalve Bich, Chief Executive Officer; and Chad Spooner, Chief Finance Officer, to begin today's conference. Thank you.
Kimberly Stewart: Thank you Natalie. This is Kimberly, Head of Investor Relations at BIC. I first would like to go over a little legal bit here. So, first of all, this call will be available on our website bic.com along with today's presentation and press release. On this call, we will make statements about our expectations of BIC's future plans and performance. These forward-looking statements, which reflect our current views, are based on reasonable assumptions at the time of publishing our results. They are by nature subject to risk and contingencies liable to translate into differences between actual data and the forecast made or inferred to by these statements. A description of the risk borne by BIC appears in the section risk management in BIC's Universal Reference Document filed with the French financial authority, the AMF. We also invite you to refer to our glossary in the press release and presentation for alternative performance measures. And with that I hand you over to Gonzalve.
Gonzalve Bich: Thanks, Kimberly, and good morning everyone. Thank you for joining us today. If ever a quarter embodied how the commercial and operational capabilities developed under our Horizon strategic plan are delivering profitable growth it would be the third quarter of 2023. The broad range of strategic initiatives that we have been working on since the launch of the plan 2.5 years ago are all coming together. In an environment characterized by pressures on consumer spending, input cost inflation and Forex volatility these initiatives are enabling us to successfully navigate an operating environment with changing headwinds and most importantly achieve our 2025 objectives. At our investor update presentation last month, we showcased how the strategic initiatives contained in our Horizon plan have delivered steady and sustainable above market rate growth while combating the macro headwinds of inflation we faced and creating further agility and resilience in our operations. Horizon is delivering. I'm happy to say that this quarter was no exception. With multiple strategic levers deployed all of which are interconnected we outperformed competitors at key points of sale without compromising on our margins. Not only are we growing market share across our divisions, we're also expanding our total addressable markets in fast growing segments. Powered by our consumer centric approach, innovative new products and higher value SKUs are driving sales growth while delivering value growth over volume. Alongside our expanding retail channels, our recent focus on strengthening e-commerce capabilities resulted in a stellar performance during the third quarter amounting to 12.6% of total sales year-to-date. There are three main performance insights I would like to highlight for us today. First, we're delivering top-line growth across our divisions with new capabilities and insights reinforcing our ability to win in Human Expression, Flame for Life, and Blade Excellence. We're gaining value and volume share across our divisions, thanks to insights provided by our revenue growth management initiatives, which play a critical role in optimizing product pack configurations to build on market share gains. For instance, in Brazil, an important and dynamic market, our pocket lighters gained share in both value and volume. During the third quarter alone, our initiatives helped us provide a 15% year-to-date increase in net sales per SKU to the end of September. Coupled with a total SKU reduction of 7% ahead of our 2023 ambition despite an increase in sales, the power of important RGM programs continue to propel us forward while allowing us to refine our offering where it matters most to consumers, for example, with our pack price architecture as we respond to tightening household budgets. Second, over the first nine months of 2023, we achieved a 15% adjusted EBIT margin. In the third quarter, we delivered a significant year-on-year improvement in adjusted EBIT margin by 3.9 points to 15.2% as we offset higher expenses with optimized price and mix in addition to manufacturing efficiencies. While there is reason to be optimistic that we can sustain margin momentum, let's not forget that input cost inflation related to raw materials and electricity remains high. Third, let's consider that we're 2.5 years halfway into our Horizon plan. There are still many more actions to execute. As we begin executing the second half of the planned five-year growth strategy, a pipeline of consumer-centric product innovations planned over the coming months and seasons will sustain momentum and increased market share, combined with innovative go-to-market initiatives for our acquired businesses.  We're excited about the skin creative brands as the first Inkbox Halloween tattoos will be in stores. I'm also excited that we will soon be launching our second new Flame for Life product since launching the Horizon plan. I'll be talking to you more about this launch very soon as we continue to innovate to deliver consumers with new premium products that bring simplicity and joy to the important Flame for Life segment. I am therefore confident in our ability to meet our full-year guidance for 2023 and beyond, with record sales expected in 2023. With that, I'd like to hand the call over to Chad, who will provide a financial summary for the third quarter and nine months.
Chad Spooner: Thank you, Gonzalve. Let's begin with an overview of our consolidated results for the nine months 2023 key financial figures on Slide 6. Net sales for the first nine months were €1.7 billion, up 7.1% at constant currencies. This growth was driven by our continued solid commercial execution, both online and in stores through our Human Expression and Blade Excellence divisions, and geographically by strong performance in Europe, Latin America, and the Middle East and Africa. Our adjusted EBIT was €260 million, which resulted in a margin of 15%. This was due to gross profit increases, which was partially offset but increased OpEx and brand support investments which are continuing to deliver strong results as part of our Horizon execution. Adjusted earnings per share were €4.43, a decline of 2.2% versus last year. Our free cash flow for the first nine months of the year was €142 million and I'll talk more about this later and how our strong cash collections during the third quarter had a very positive impact on cash flow. At the end of September of 2023, our net cash position was €308 million. We've completed €97 million in share buyback, of which €84 million is part of the €100 million announced in February that are dedicated to the cancellation of shares, and the balance will be used for our long-term incentive program. Turning to Slide 7, you'll see a snapshot of our divisions, starting with our performance in Human Expression. Net sales were €675 million, up 7.6% at constant currencies. The Human Expression adjusted EBIT margin was 9.0%, compared to 5.2% in the first nine months of 2022. The increase was driven by favorable pricing and mix and lower brand support. This was partially offset by unfavorable ForEx, mainly the U.S. dollar to Mexican peso, as well as higher OpEx. On the center of Slide 7, we have our Flame for Life division, with net sales of €634 million, up 1.7% at constant currencies. The Flame for Life adjusted EBIT margin was 34.9%, compared to 37.1% in the first nine months of 2022. This was a result of unfavorable fixed cost absorption, higher raw material costs, and negative mix from less contribution from U.S. sales. Brand support investments were also higher with the launch of BIC EZ Reach advertising campaign in Europe. This was partially offset by favorable pricing, favorable ForEx from euro, U.S. dollar hedging and manufacturing efficiencies. Lastly, in our Blade Excellence division, net sales were €407 million, up 15.6% at constant currencies. The Blade Excellence adjusted EBIT margin was 11.4%, compared to 15.2% in the first nine months of 2022. This was due to significant input cost inflation in the first half of the year, raw materials and electricity, and unfavorable ForEx, mainly the U.S. dollar to Mexican peso, partially offset by manufacturing efficiencies. The margin was also impacted by higher OpEx and brand support investments, mostly related to the launch of BIC EZ Reach, a major advertising campaign in the U.S. to support the launch. This was partially offset by favorable price and mix. Turning to Slide 8, let's now review our consolidated financial results starting with the third quarter 2023 net sales evolution. On an as-reported basis, net sales for the third quarter of 2023 totaled €560 million, down 3.4% versus last year. On a comparative basis, our net sales were up 3.3%. Currency fluctuations had a negative impact of minus 6.9 points, which was mainly due to the decrease of the U.S. dollar, the Turkish lira and the Nigerian naira against the euro. The perimeter impact adjustment includes the acquisitions Tattly and AMI. Argentina contributed 0.3 points.  Turning to Slide 9, let’s now review the nine months – first nine months of 2023 net sales evolution. On an as reported basis, net sales for the first nine months of 2023 totaled €1.7 billion, up 1.8% versus last year. On a comparative basis, our net sales were up 3.8%. Currency fluctuations had a negative impact of minus 2.6 points, which was mainly due to the decrease of the U.S. dollar, Turkish Lira and the Nigerian Naira against Euro. The perimeter impact adjustment includes the acquisitions of TATLY and AMI, as well as one month of Inkbox. Argentina contributed positive 0.5 points. Let us now take a closer look at our adjusted EBIT margin change versus the prior year for the third quarter of 2023 on Slide 10. Q3 2023 adjusted EBIT margin was 15.2%, an increase of 3.9 points versus Q3 last year. Gross profit margin increased by 5.4 points. This was driven by strong price mix, lower raw material costs, manufacturing efficiencies and forex from favorable Euro, U.S. dollar hedging. This was partially offset by unfavorable fixed cost absorption and negative mix from less contribution from U.S. lighter sales. Brand support was 0.7 points higher. OpEx and other expenses increased by 0.8 points as we continue to invest to support our Horizon goal strategy. Now turning to Slide 11, you see that the first nine months of 2023 adjusted EBIT margin was 15.0%, 0.7 points lower than the first nine months of 2022. The first nine months gross profit margin increased by 1.5 points favorably impacted by price mix, manufacturing efficiencies and Euro, U.S. dollar hedging. This was partially offset by input cost inflation, raw material and electricity cost, fixed cost absorption and forex, mainly due to the U.S. dollar to Mexican peso and Euro to Turkish Lira exchange rates. Brand support was 0.5 points higher driven by media campaigns for EasyRinse in North America and EasyReach launch in Europe. OpEx and other expenses increased by 1.7 points. On Slide 12, we have the key P&L elements summarized. Adjusted EBIT for the first nine months of 2023 was €260 million, compared to €269 million last year. Nine-month 2023 income before taxes was €252 million with a 28.1% tax rate, that is compared to €259 million in the first nine months of 2022. Net income Group share was €181 million, compared to €186 million for the first nine months of 2022. Our adjusted EPS Group share was €4.43, compared to €4.53 last year. Moving on to Slide 13, we see the main elements of working capital. Inventories decreased by €3 million compared to December of 2022. We continue to drive inventory efficiencies as we improve our inventory days by 14 days from the end of September of 2022. Trade and other receivables increased by €93 million, driven by strong Q3 sales. These receivables will convert to free cash flow as they are collected in the fourth quarter. On Slide 14, we have our net cash evolution from December of 2022 to September of 2023. You'll see that our operating cash flow was €359 million. As we described in the prior slide, we had negative working capital and others of €148 million. Net cash was also impacted by investments in CapEx of €69 million. This resulted in a positive free cash flow of €142 million, notably driven by strong collections in Q3. During the first nine months, we bought back €97 million in shares. Our net cash position at the end of September of 2023 was €308 million. This concludes the review of our third quarter and nine months 2023 consolidated results. With that, I'd like to hand it back over to Gonzalve.
Gonzalve Bich: Thank you, Chad. As you heard today, we're successfully delivering on the financial objectives we'd set for ourselves for 2023. The commercial capabilities introduced as part of our Horizon plan are gaining momentum and are showing meaningful results. We're competitive at all points of sale, be they in store or online, and the premiumization of our lineup is delivering increases in sales over volume. This enabled us to achieve third quarter results that evidence net sales growth equal to the upper level of our annualized midterm range, as well as adjusted EBIT margin improvement and strong cash generation once more in 2023. We continue to gain market share globally and our commercial and operational capabilities go a long way to mitigating some of the volatility that continues to put consumers and input costs under pressure in the consumer goods sector. We're confident that our Horizon initiatives continue to mature, we will remain on track to meet our midterm objectives. Thank you for your attention. Chad and I will now open the call to your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Christophe Chaput from Oddo. Your line is open. Please go ahead.
Christophe Chaput: Yes, good morning, ladies and gentlemen. I've got two set of questions, please. The first one is that on the press release you seems to be confident obviously for 2024. Would you say that your confidence has mainly come from top line or margin? Well, probably both. But just to understand, is this recent event led you to be more positive on one topic or another? And on top line, is it going to be mainly price and mix or would you see some positive sign as well on volume? And the second set of question is regarding the profitability, the EBIT margin in Q3 2023. Could you help us to quantify, let's say, the positive impact from the improving profitability of Inkbox and Cello in India if it is significant obviously? Thank you very much.
Gonzalve Bich: Good morning, Christophe. Thanks. Chad, will handle your second question. I just want to come back to your first question. I heard 2024, but you're asking about 2023, right?
Christophe Chaput: No, I mean, in the press release you say that you are confident on 2024 on the perspective for 2024. So that's why I just ask that if recent events, let's say, let you to be positive on one topic or another, more positive on one topic…
Gonzalve Bich: Okay. Sorry, I’m just making sure since this is the Q3 call. Listen, when we spoke not a month ago at our Investor Update, I told you all the reasons why I’m confident in our mid-term objectives. And 2024 today I don’t have materially more information than I did six weeks ago that would change my perspective for 2024. As we said, and I think it’s really important to note. Horizon is and remains very much a growth plan. And we’ve invested a lot these last three years to build capability, to build resilience, to build agility. And I’ll say it again, if ever a strategic plan was going to get tested, I think that the last three years have definitely tested our plan and have shown us where we did well, shown us where we needed to correct, and we’ve done that. So as we go into the second half or the back half of the plan, which starts in 2024, as you’re alluding to, I have confidence that we can reach the objectives that we’ve set ourselves both at the top line as well as the sequential improvement in EBIT margin and the stronger cash generation.
Chad Spooner: Hey Christophe, this is Chad. And in regards to your question on Q3 EBIT margin, while Inkbox and Cello continue to improve, obviously they were not the big drivers of our margin rate for Q3. Q3 really was driven by gross profit margin enhancement. The 540 basis points really drove the EBIT margin growth. And that was really driven by across the board strong price and mix, lower input cost inflation, manufacturing efficiencies that we talked about during our Investor Update. All the great work we’re doing with our global supply chain to really drive efficiencies and our favorable euro-U.S. dollar hedging, which we had spoke about, I think in the first half of the year, that we’d see more favorability in the second half of the year than the first. So those are really the big drivers of the gross profit margin. We did have some things offsetting the gross profit margin, so those were even more than 540 basis points. Some fixed cost absorption partially offset that, some negative mix from less U.S. later contribution and labor and overheads. But all in all, tremendous performance for gross profit in the quarter across the board is what drove our EBIT margin.
Christophe Chaput: And the last one, if I may, there is in the U.S. for the stationary division some, let’s say discount, it seems in coupon. Could you give us more detail about that? Why do we see some strategy, let’s say, in the market?
Gonzalve Bich: It’s a really good question, Christophe. Thank you. Let’s go back. So, 2020 for all intents and purposes, no back to school. 2021 supply chain challenges are uncovered. Retailers react as they possibly can. We had a challenging 2021 back to school. We clearly called ourselves out on it. We walk into 2022, everybody gets really strong. We at BIC spend a lot of time and energy. We built up strategic inventories. We worked better with retailers. So we worked the pre-consumer side of things, I think as an industry, a lot. But the promotional pressures weren’t as strong as they were in 2023. This year, what we saw is a lot of promotional pressures from our competitors, from the industry, what have you and Connex products around back to school. So that’s all I can tell you as to why there was so much couponing and discounting aggressivity. But what I want to keep us to is, we’re gaining share in those critical sub-segments that are important to us, the ones that are historically the ground BIC ball pen, mechanical pencil correction. And we’re making inroads all over the world in the coloring segment that’s so important for the future of our human expression division.
Chad Spooner: And if I could add, Christophe, too, if you look in the press release, our results overall for human expression, as we said, the margin rate is continuing to improve. We’re at 9% overall EBIT margin for human expression versus 5.2% last year. So on a balanced basis across the entire corporation, we’re maintaining margin even while we do what we need to combat competition in different regions.
Gonzalve Bich: So growth and sequential improvement on the margin.
Christophe Chaput: Okay. Thank you so much.
Operator: Our next question goes to Kate Rusanova from UBS. Your line is open. Please go ahead.
Kate Rusanova: Good morning, Gonzalve, Chad and Kimberly. Thank you for taking my questions. So firstly, with such a strong margin improvement in Q3. Would it be fair to assume that operating margin expansion this year could be well above the 50 bps that you alluded to at the time of the CMD? And maybe you can also walk us through some of the key elements to be aware of when thinking about the Q4 margin development. For example, how should we think about the impact of operating deleverage in Lighters and whether Q3 margin in stationery would be lower than Q3 as was the case historically? My second question is related to Lighters. How should we think about the growth of this business in Q4? Would it be fair to assume some further deceleration considering existing market headwinds?  And lastly, I wanted to come back to the question on 2024. When you talk about the prospects for the next year in the press release, you mentioned consumers being under pressure. So with this in mind, what gives you confidence that, a, your RGM initiatives would get traction in such environment? And b, that this will not be offset by volume decline. Thank you.
Chad Spooner: Hi Kate, thanks for the questions. Let me start with the question on the margin in Q3. Yes, we’re very pleased with the margin in Q3. And as Gonzalve said, all of our Horizon efforts, you can really see them coming to roost with the work we’re doing, it really shows in gross profit and in sales top-line growth. One thing I would say is, when we spoke to the market in our investor update several weeks ago, we talked about a long-term ambition of 150 basis points above where we ended last year, which leads to a 15.5% approximate 15.5% rate by the end of Horizon. And what we said is, we said there is – that’s a pathway there. It wasn’t a step function one-way aligned, but it was kind of a – that’s the direction we’re going. What I would say is that we’re hopeful that this year, I’m going to say it’s a more balanced year. And the way I spoke about it before is the first half and the second half from a margin rate perspective, should be more balanced than historically because historically, we’ve seen a very depressed second half of the year driven by Q4, which we hope not to see this year. So I can’t give specific guidance on where the specific Q4 where the year will end, but I’ll say that this is definitely boding well for the progress that we’re making, but it still keeps us, I think, definitely in line with where we’re going for the long term. So that’s what I would say there. In regards to Lighter growth in Q4, one thing I’ll mention on Lighter, we're seeing pressure in the U.S. And we had mentioned before how the Asian Lighters were coming back into the market at some point in time during COVID and during the global supply chain constraints that happen around the world. They struggled to get product into the U.S. We're seeing that product coming back into the U.S. now. But we think through this year we'll be, I'll say normalized to where we were before and give you a little insight into next year. We expect it to be more of a stable environment for the Lighter business next year where we should be getting both price and mix in there and we shouldn't see more than I'll call it, single digit market declines from a Lighter overall kind of market standpoint from where we are. So that kind of answers where we are for Lighter this year is going to feel pressure, but we think it should be stabilized by next year.
Gonzalve Bich: I would just add to that, Chad, that the goal of our Flame for Life strategy is really in all flame occasions. And so while faced with that and the fact that we're still gaining share in volume and value and around the world right. So in the U.S., we gain share in volume and value. In Brazil, we gain share in volume and value. And we can go down the list. But probably more importantly for the future is creating those new flame occasions. So when we launched EZ Reach at the start of two years ago, we started driving new usages and consumers into the category. And I think we had talked about it. But we haven't even achieved half the rate of cannibalization that we had originally modeled into our forecast. It really says the consumers are bringing new consumers or new usage occasions to the category. And so that was the rollout in the U.S. This year we're doing Europe, which is strong, and then rest of the world. And as I very lightly alluded to in my scripted remarks, the next product of Flame for Life will be announced in just a short while that will then again create step forwards – moving forward. For 2024, Kate, you asked about RGM volumes and what gives me, okay, can you just repeat your question? I'm sorry, I want to make sure I capture all the elements of it and my note taking might not have been as fast as…
Kate Rusanova: Yes, sorry. Yes. Basically, I meant what gives you confidence that in a more vulnerable consumer environment, your RGM initiatives will get traction and that they will not be offset by volume decline?
Gonzalve Bich: Thank you. It was just that first part of the question. Okay, so let's step back and start with the consumer and the BIC brand. And that's really what underpins a lot of the confidence that we have. You see it last year, you see it this year. And I can point to the historical 2015, 2008, 2009, when consumer spending gets tight, the BIC brand thrives and over delivers for a variety of reasons, the first of which, of course, is the quality of the products. But also it's kind of that brand quality promise that we've made to consumers for now over 70 years. What we've noted and I talked about a couple of weeks ago with all of you, is what we're seeing is choicefulness. Consumers, even at the price points of BIC products that we're talking about are really making more choiceful decisions, they're taking maybe a little bit longer at the point of sale to make their choice, but they're doing so on brand, brand promise and other attributes like what is your sustainability commitment. How are you positioning yourself? And so that's very, very important. Now to the RGM initiatives and as you know, I can't talk too much in detail because those conversations are ongoing with our retail partners around the world. But what's important is to make sure that we're working the different levers of RGM. So let me come back to price pack architecture, pack choices, working the range and planograms, and making sure that on the one hand we're putting the brand front and center and at eye level for the consumer or on screen above the fold in the online space. But also trying to drive incremental volumes because winners are winning disproportionately I think than in the past. Now when you put all of that together, that's what gives me the confidence for 2024.
Kate Rusanova: Thank you.
Operator: [Operator Instructions] Your next question is from Marie-Line Fort from Société Générale. Your line is open. Please go ahead.
Marie-Line Fort: Thank you very much for the presentation. My first question concerns Shavers. I wanted to know what Blade-Tech represented as a percentage of your sales in Q3, and what contribution do you expect over the year? And second question is about Lighters. Could you comment the evolution of inventories at your retailers in the U.S.? Do you think you are overstocked, and you mentioned that you're targeting a more stabilized market for 2024? Do you think that you benefit from given the level of our inventories in the retail? And lastly, about headwind, last year you had €31 million headwind in Q3 and €26 million in Q4. Could we have the measure for this year in Q3 and your projection for Q4? Thank you very much.
Chad Spooner: Hi Marie-Line, thanks for the question. I'll take the first one in terms of BIC Blade-Tech. What we'll say on that, and I think Gonzalve said before, it's becoming part of the – and as we think of the business, how we talk about it is double-digit growth and is it still hitting our aspirations and BIC Blade-Tech continues to grow at a double-digit rate and provide strong margins is what we'll say for this quarter, and we see continued good prospects.
Gonzalve Bich: We sold one additional client in the quarter.
Chad Spooner: That's correct, yes.
Gonzalve Bich: So still in line with expectations and double-digit growth. On Lighter inventories, Marie-Line, I've got to tell you, I'm surprised by the question, this is probably the first year and three years that I don't have much to comment because they've been relatively stable at retailer levels. You shouldn't be seeing swings. And let's face it, in the U.S. in Q1, in the last couple of years we've had retailers moving their inventories around for their reporting. But today, I have nothing to tell you about overstock or understock. I think what Chad was referring to, so let me go back to it is during the pandemic and supply chain challenges, there were much less Asian imports coming through the ports and into the unmeasured market. Today, what Chad referred to is those are back down. We gained share during that time. So the goal for us is to maintain and continue to grow that share. But there's no adverse market effects that I can tell you about right now. And then the third question.
Chad Spooner: Third, can you actually – I was trying to jot that down, Marie-Line, but I wasn't sure what headwinds that you're referring to?
Marie-Line Fort: Last year, you disclosed the headwind impact on your margin at €31 million...
Chad Spooner: Equation? Yes. 
Marie-Line Fort: Yes. Headwind, all headwinds impact [indiscernible], freight transport. So it was a big headwind last year. I just want to know how do you achieve to offset this impact in Q3 2023 and also your projection for 2024, not in its actually quantum, but just in terms of trends.
Chad Spooner: Yes. Okay. Thanks. Now I’m clear. So yes, and that's the same – those headwinds, what we had talked about at the end of the year, the inflation that we still had an inventory of over €40 million, et cetera. That really – that impact was in the first half of the year, right? And we talked about our depressed margins in the first half of the year because the headwinds from the second half of last year hit our P&L in the first half of this year. The second half of this year, as I said, those headwinds have subsided substantially, which is why you're seeing such a growth in our gross margin percentage. So right now, I'll say that those headwinds have subsided substantially, and we're benefiting from that and seeing some of the strength in our margins because we don't have the same headwinds we had from last year.
Marie-Line Fort: But have you totally offset? Or do you still have route to?
Chad Spooner: It is right now at a position where it's not having such a negative impact at all. It's a muted impact. So last year, our price was helping to offset those headwinds. Now we have the price without the impact of those headwinds. So we're seeing – that's why we're seeing such growth in our margins.
Marie-Line Fort: And sorry to come back on Blade-Tech. Last year, Blade-Tech accounts for €50 million of sales over the 2022 years. Could we have the idea of how – where you are today? Or where do you project to be at the end of 2023? And have you signed new clients? You didn't mention anything, but just to have an update on that side.
Gonzalve Bich: Yes, sorry – yes. So as BIC Blade-Tech continues to grow double-digit. That's what I want you to walk away with today is it continues to grow double-digit, and the margins are accretive to the total blade excellence category and to the total company. We did sign a new customer in the third quarter. It's a relatively smaller new customer but a dynamic one that we're excited about.
Marie-Line Fort: Thank you. 
Operator: There are no further questions, so I'll hand it back to Kimberly Stewart, Head of Investor Relations, to conclude today's conference.
Kimberly Stewart: Thank you, Natalie. Everyone, thank you very much for your time. Of course, if you have any questions, I'm available to answer your questions. So look forward to speaking with you today and in the coming days. With that, I wish you an excellent day.
Chad Spooner: Thank you.
Gonzalve Bich: Thank you.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.